Operator: Good afternoon, ladies and gentlemen. Thank you for joining today's Informatica's First Quarter 2024 Earnings Conference Call. My name is Sierra, and I will be your moderator for today's call.
 [Operator Instructions]
 It is now my pleasure to introduce your host, Victoria Hyde-Dunn, Vice President of Investor Relations. Please proceed. 
Victoria Hyde-Dunn: Thank you. Good afternoon, and thank you for joining Informatica's First Quarter 2024 Earnings Conference Call. Joining me today are Amit Walia, Chief Executive Officer; and Mike McLaughlin, Chief Financial Officer.
 Before we begin, we have a couple of reminders. Our earnings press release and slide presentation are available on our Investor Relations website at investors.informatica.com. Our prepared remarks will be posted on the IR website after the conference call concludes.
 During the call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings including the section titled Risk Factors included in our most recent 10-Q and 10-K filing for the full year 2023. These forward-looking statements are based on information as of today, and we assume no obligation to publicly update or revise our forward-looking statements, except as required by law.
 Additionally, we will be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest U.S. GAAP measure can be found in this afternoon's press release and our slide presentation available on Informatica's Investor Relations website.
 With that, it's my pleasure to turn the call over to Amit. 
Amit Walia: Well, thank you, Victoria. Thank you, everyone, for joining us today. I will start today's call by summarizing 3 key points. First, we delivered a solid first quarter, executing our cloud-only consumption-driven strategy. In line with our pre-announcement last week, we delivered all key growth and profitability metrics above our midpoint guidance and we are reaffirming full year 2024 guidance.
 Second, we further accelerated Informatica's product innovation journey to deliver the best data management products on the industry's only AI-powered data management platform, serving a multi-vendor, multi-cloud, hybrid needs of modern enterprises. We launched cloud data access management, our new data access and governance solutions based on technology from our acquisition of Privitar last year. As we head into Informatica World, we plan to launch CLAIRE GPT, our generative AI chat interface on the IDMC platform.
 Third, as we share our Investor Day, we are focused on consistently executing our cloud-only consumption-driven strategy across 3 growth engines, ongoing data-driven digital transformation, our on-premise to cloud migration and gen AI to fuel cloud growth and drive long-term value creation.
 Now let's discuss these topics in more detail. Turning to first quarter results. Cloud subscription ARR grew 35% year-over-year to $653 million. Subscription ARR increased 13% year-over-year to $1.16 billion, and total ARR rose 7% year-over-year to $1.64 billion. Total revenue grew 6% year-over-year to $389 million and non-GAAP operating income increased 29% year-over-year to $109 million. Adjusted unlevered free cash flow after tax was $183 million.
 We increased opportunities with existing customers and drove new workloads in G2K markets through our sales teams and our partners supported by a healthy cloud pipeline. Approximately 72% of our cloud net new ARR in the trailing 12 months came from new cloud workloads and expansions. Customers that spend more than $1 million in subscription ARR increased 20% year-over-year to 258 customers. We saw strong growth in average subscription ARR per customer, which now has reached to $310,000, a 15% increase year-over-year.
 We closed many new logos and expansion deals with great companies in the quarter that highlight our platform advantage. Let me share a few. University Hospitals of Derby and Burton, UHDB, part of the NHS Foundation Trust, a leading provider of health care services across the Midlands region of the U.K. is undertaking a transformational electronic patient record consolidation program. As a part of this strategic initiative, UHDB has chosen IDMC as its platform of choice. IDMC, specifically its cloud data governance, cloud data integration and cloud data quality modules will play a critical role in connecting disparate data sources across UHDB's hospital network.
 Dubai Islamic Bank is a large Islamic bank in the UAE. They recently purchased IDMC to address the data quality, data covenants and data marketplace requirements, which will ensure proper reporting to the business, support compliance with central bank regulations and enhance their customer experience. Bridgestone, a global leader in premium tires and sustainable mobility solutions is partnering with us in our MDM solutions to support them in managing and ensuring the quality of their products, suppliers, financial information and customer data to optimize the supply chain and inventory operations across the globe.
 We, at Informatica, are the Switzerland of data and the only data management partner scale that manages data of any type, any patent, any complexity or any workload across any location. We continued co-selling with our ecosystem partners such as Microsoft, AWS, GCP, OCI, Snowflake, Switzerland and MongoDB. We also made new announcements with Snowflake and GCP at Google Cloud Text. With Google Cloud, we announced a new MDM extension for Google BigQuery to simplify and accelerate the use of high-quality trusted data from Informatica to power gen AI workloads with Vertex AI and Google Gemini and customer data platform workloads with BigQuery and Looker.
 We also announced a global expansion with a new point of delivery on Google Cloud in Saudi Arabia. With Snowflake, we announced comprehensive integration with and support for Snowflake Horizon, Snowflake's native data governance and privacy controls. We were also one of Snowflake's launch partners for Snowflake Horizon's partner ecosystem. Our GSI partners continue to create solutions with IDMC embedded to take to market. For example, PCS recently launched an enterprise cloud data pipeline to ingest a multitude of disparate data types and process and provision the data for a range of smart data-driven business apps.
 Capgemini released a retail-specific version of the ESG sustainability hub built on IDMC. Our partner migration program continues to expand with 55 partners now in the power system modernization program. The master data management modernization program that is launched at the end of last year saw its first batch of 6 partners complete training. 10 of our partners have been approved to join the program and are taking the on-demand training.
 Innovation remains paramount at Informatica. Let me discuss a few net new product innovations on IDMC. In the MDM and 360 apps, we delivered a new visual experience that is modern, accessible and AI-enabled and very important for our business users. Along with its updated user experience, data stewards are also empowered to get deeper insights with self-service reporting capabilities, enhanced survivorship options and simplified management of complex hierarchies.
 Cloud data governance and catalog enables deeper ecosystem support for Microsoft fabric data warehouse, host on OCI to seamlessly govern data and new data scanners for MariaDB Server and Db2. Additional profiling support is also included for Teradata, SAP HANA, SAP BW, and external tables for Oracle, Azure Synapse and Athena.
 In February, we launched our new Cloud Data Access Management solution. CDAM enhances data security and privacy with capabilities that help organizations reduce the time it takes to safety provision data, mitigate the risk associated with the data misuse and simplified compliance with laws and regulations. CDAM is based on the technology from our acquisition of Privitar in July of last year and has been integrated into IDMC to enable data use and sharing with policy-based controls that are automated using classifications and metadata in our cloud data governance catalog.
 Integration with IDMC means that data can be consistently protected for hybrid and cloud data platforms with cloud data integration or used in conjunction with the cloud data marketplace to accelerate the delivery of trusted data products and related assets to all data consumers through self-service.
 Now turning to modernization. We have close to $1 billion of on-prem maintenance and self-managed ARR. Approximately 28% of cloud net new ARR in the trailing 12 months came from on-prem to cloud migrations, which is up 3 percentage points sequentially as cloud customer modernization deals are starting to accelerate. We closed over 30 cloud modernization deals, which grew over 100% year-over-year. We are seeing stronger customer adoption of PowerCenter Cloud Edition, which represented over 80% of all modernization yields, up from 60% last quarter. Modernization projects are all operational mission-critical workloads. Once we modernize, it enables cross-selling into new workloads more easily allowing us to upsell and cross-sell IDMC in the future.
 Frontier Communications, one of the largest pure-play fiber-to-the-home providers in the U.S. is a great customer expansion and modernization story. Their recent investment with Informatica enables the modernization of their on-prem platform to IDMC, including data integration, MDM and data governance. This will accelerate their plans to improve customer experience and master address data with Informatica MDM solution.
 Another great modernization story, Sodexo, a global leader in sustainable food and valued experiences at every moment in life, learn, work, heal and play. Sodexo is leveraging IDMC and its group data platform build on Azure as well as to prepare its upcoming migration of its supply master data management platform in North America from on-prem to cloud.
 We continue to hear from industry analysts that we are an innovation leader and are pleased to be recognized as the leader in the 2024 Gartner Magic Quadrant for Integration Platform as a Service. This is the ninth time that Gartner has positioned Informatica as a leader in this report. We were also named the leader in the 2024 Gartner Magic Quadrant for Augmented Data Quality Solutions report. Gartner positioned Informatica as the furthest on the Completeness of Vision axis as well as the highest on the Ability to Execute axis. We're also recognized as a leader in the Forrester Wave for Enterprise Data Fabric Q1 2024. The Informatica received the highest score for current offerings.
 Now looking ahead, let me share some observations regarding gen AI and our strategy for executing against it. Look, I firmly believe that the next phase of digital transformation will be fueled by gen AI, which is poised to drive outsized innovation and productivity gains for enterprises. As we enter the gen AI revolution, enterprises are realizing that developing an AI strategy actually requires creating a data strategy first. The reality is that everyone is ready for gen AI except your data. Informatica is driving the modern data management stack for gen AI enterprise architectures as the only comprehensive and at-scale AI-led data management platform. Preparing data for gen AI project involves collecting data, cleansing data, cataloging data, ensuring quality, mastering, governing and accessing it through Informatica's IDMC.
 We hear time and time again from customers and partners with the breadth of IDMC solution is mission-critical to processing their workloads. IDMC processed 92 trillion mission-critical cloud transactions in March, growing 69% year-over-year. CLAIRE, our AI engine is embedded in all our solutions, leveraging ML algorithms and NLP on metadata to drive intelligence and productivity, accessing over 50,000 metadata aware connections and now leveraging over 48 terabytes of active metadata in the cloud.
 Our efforts to assist customers with their AI strategy, our gen AI strategy is divided into 2 categories: Informatica for gen AI and gen AI from Informatica, both available from the IDMC platform. In the area of Informatica for gen AI, we are already well underway with our new API and our integration services where customers can use services for a simple, no code way to add advanced gen AI capabilities to existing IDMC implementation. This makes it easier for developers to use different gen AI models, us being now the Switzerland of models and let customers update their apps with gen AI capabilities without changing any code.
 Our gen AI solution with built in software development life cycle and API governance drives better control, performance and scalability, ensuring gen AI ready for complex business needs. This is a fast-moving space as we innovate and our customers use IDMC capabilities for their gen AI use cases.
 Now in the area of gen AI from Informatica, we believe this is a game changer. To support our customers' AI journey, we have developed CLAIRE GPT, a transformational chat interface to do all of the complex data management tasks through NLP in a user-friendly format will revolutionize and democratize data management throughout the enterprise. Users will now be able to easily find relevant data assets, tables, columns, PII sensitive data and more using NLP queries. They will be able to explore the assets with, again, natural language questions to understand trends, KPIs, top customers or any important insight.
 Additionally, CLAIRE GPT will allow users to quickly understand the lineage of that data, dependence of data assets and search and explore business terms, definitions, data quality scores, which are the data owners and stakeholders associated with these data assets. Users will then be able to generate new data products with ELT pipelines using NLP on data warehouses like Snowflake, AWS Redshift, Azure Synapse, Google BigQuery and Databricks Delta Lake. While the operationalization of gen AI workload is in early stages, we are extensively engaged with customers on various industries such as health care, financial services, manufacturing and technology, that are participating in a wide range of use cases as part of the CLAIRE GPT private preview. As we head into Informatica World later this month, we are pleased to announce that the CLAIRE GPT will be available to IDMC customers using our IPO consumption mark. We believe this will be a tailwind for us for the many years come.
 As I wrap up, we are focused on consistently executing our commitments that we laid out on our Investor Day and driving ongoing data-driven digital transformation on-prem to cloud and gen AI to fuel cloud growth and drive long-term value creation. The operational health of our business remains very strong as evidenced by a predictable subscription revenue business model, strong customer base, healthy cloud pipeline and retention rates, and strong unlevered free cash flow that has only continued to grow. We believe this continues to position us well for durable, consistent future growth and profitability.
 Thank you to all my Informatica colleagues for their hard work and continued commitment. I would also like to thank our customers, our partners and our shareholders for supporting us. We look forward to sharing more product innovation announcements that's a pretty cool demos at Informatica World 2024 later this month.
 With that, let me turn the call over to Mike. Mike, please take it away. 
Michael McLaughlin: Thank you, Amit, and good afternoon, everyone. Q1 was another solid financial across the board with all key growth and profitability metrics above the midpoint of our guidance, delivering a great start to the year.
 I'll begin the review of our Q1 results by remind how to best understand Informatica's ARR and GAAP revenues. Our ARR and revenue fall into 3 categories: Cloud subscriptions, which delivered 35% ARR growth year-over-year; self-managed subscriptions, which we no longer actively sell and are, therefore, gradually declining; and maintenance on on-premise perpetual licenses, which is also in gradual decline. The trajectories of these 3 categories of ARR and revenue are the direct result of our cloud-only strategy, and we expect this to continue going forward.
 With that in mind, let's start with total ARR, which was $1.64 billion, an increase of 6.7% over the prior year. This was driven primarily by new cloud workloads, strong cloud net expansion with existing customers and stable subscription and maintenance real rates. We added $103 million in net new total ARR versus the prior year. Foreign exchange negatively impacted total ARR by $1.2 million. Cloud subscription ARR was $653 million, a 35% increase year-over-year and $2.5 million above the midpoint of our February guidance. New cloud workloads and strong net expansion with existing customers to cloud subscription net new ARR of $169 million year-over-year and $36 million sequentially. Cloud subscription ARR now represents 40% of our total ARR, up from 32% a year ago. Foreign exchange negatively impacted cloud subscription ARR by $791,000.
 Our cloud subscription net retention rate at the end user level was 119%, up 1 percentage point year-over-year and flat versus last quarter. Cloud subscription net retention rate at the global parent level was 124%, flat year-over-year. Self-managed subscription ARR declined in the quarter as expected to $505 million, this was down 2% sequentially and down 6% year-over-year. This was a slightly slower decline than we forecasted in February. Subscription ARR, which is simply the sum of cloud ARR and self-managed ARR, grew over 13% year-over-year to $1.16 billion, which was $13 million above the midpoint of our February guidance. Foreign exchange negatively impacted subscription ARR by approximately $1.1 million.
 The third component of total ARR is maintenance from on-premise perpetual licenses sold in the past, which now represents 29% of total ARR. Maintenance ARR was down approximately 7% year-over-year to $479 million. The migration of our on-premise customer base to IDMC in the cloud continues to be a large opportunity for us. The introduction of PowerCenter Cloud Edition in Q3 of last year has helped accelerate the volume of signed migrations of our power center maintenance space and we are seeing early momentum from our self-managed base migrating to our cloud platform.
 As of the end of Q1, we have migrated 5.5% of our maintenance and self-managed ARR base to cloud, up from 4.8% last quarter. We have a life-to-date average [ 2:1 ] ARR uplift ratio on these migrations, including power center and MDM. These 3 ARR components summed to 6.7% total ARR growth year-over-year. Cloud subscription ARR growth of 35% drove this increase, offset by gradual declines in self-managed subscription and maintenance ARR. We expect similar trends to continue throughout 2024 as a direct and intentional result of our cloud-only consumption-driven strategy. And as we noted on our Investor Day, we expect total ARR and total revenue growth to begin accelerating this year as the fast-growing cloud subscription portion of our ARR becomes a larger portion of our total business.
 Now I'd like to review our revenue results for the first quarter. GAAP total revenues were $389 million, an increase of 6.3% year-over-year. This exceeds the midpoint of our February guidance by approximately $4 million due to strong cloud growth and a somewhat slower-than-expected decline in self-managed revenue. Foreign exchange positively impacted total revenues by approximately $1.7 million on a year-over-year basis.
 Subscription revenue, which includes cloud subscriptions and self-managed subscriptions increased 18% year-over-year to $252 million, representing 65% of total revenue compared to 59% a year ago. Our quarterly subscription renewal rate was approximately 91%,  down 2 percentage points year-over-year due to lower self-managed subscription renewal rates, offset by higher cloud subscription renewal rates.
 Revenues falling into our maintenance and professional services category were $137 million. Maintenance revenue represented 30% of total revenue for the quarter and our maintenance renewal rate was 94%, down 2 percentage points year-over-year. Almost half of our maintenance gross churn came from maintenance to cloud migrations this quarter.
 Professional services, which includes implementation, consulting and education, make up the remainder of this category and were down $6 million year-over-year, consistent with last quarter. As we have seen in prior quarters, our implementation services revenue has been declining year-over-year as our implementation partners assume a greater share of that work for our customers. We are pleased with this trend. Cloud subscription revenue was $151 million or 60% of subscription revenues, growing 35% year-over-year. As a reminder, due to the timing difference between revenue and ARR recognition the relative growth rates of these 2 metrics may differ from vary to period.
 Turning to the geographic distribution of the business. U.S. revenue grew 4% year-over-year to $242 million, representing 62% of total revenue, while international revenue grew 11% to $147 million. Using exchange rates from Q1 last year, international revenue would have been approximately $1.7 million lower in the quarter, representing international revenue growth of 10% year-over-year.
 Turning to consumption-based IPUs. Approximately 59% of first quarter cloud new bookings were IPU-based deals. The remainder of our Q1 cloud bookings were primarily for customer or supplier records for our MDM products, which is also a multiyear committed consumption-based pricing model.
 Now I'd like to move on to our profitability metrics. Please note that I will discuss non-GAAP results unless otherwise stated. In Q1, our gross margin was 81%, up 1 percentage point year-over-year. We are focused on maintaining healthy gross margins as our business transitions to the cloud. Operating expenses were consistent with expectations, as part of our November 2023 restructuring plan, we incurred nonrecurring restructuring charges of approximately $4.4 million. We expect to incur approximately $4 million in additional restructuring charges for the remainder of full year 2024.
 Operating income was approximately $109 million, growing 29% year-over-year and exceeding the midpoint of our February guidance by over $2 million. Operating margin was 28.1%, a 4.9 percentage point improvement from a year ago. Adjusted EBITDA was $111 million and net income was $69 million. Net income per diluted share was $0.22 based on approximately $312 million outstanding diluted shares. Basic share count was approximately 297 million shares.
 Adjusted unlevered free cash flow after tax was $183 million, significantly better than expectations due to faster cash collections and other working capital dynamics. We expect these favorable working capital factors to reverse in Q2, and therefore, Q2 free cash flow will be significantly lower than Q2 2023. As we've emphasized in the past, free cash flow can be highly volatile from quarter-to-quarter, which is why we only formally guide free cash flow on a full year basis. When we get to the discussion of Q2 expectations later in my remarks, you'll see that while Q1 free cash flow was significantly higher than expected and Q2 free cash flow is expected to be much lower, our free cash flow for the first half of 2024 should be in line with the historic linearity of that metric, and we are on track to deliver full year free cash flow that is in line with our full year guidance.
 Cash paid for interest in the quarter was $38 million, in line with expectations. We ended the first quarter in a strong cash position with cash plus short-term investments of $1.1 billion, an increase of $315 million year-over-year. Net debt was $725 million and trailing 12 months of adjusted EBITDA was $502 million, this resulted in a net leverage ratio of 1.4x at the end of March.
 Now I'll turn to guidance, starting with the full year 2024. We delivered solid results in Q1 and are comfortable reaffirming all previously issued guidance for the year, reflecting confidence in our cloud-only consumption-driven strategy. It's worth noting the recent strengthening of the U.S. dollar against the euro, pound and yen have resulted in FX-related revenue headwinds for fiscal 2024 compared to our previous assumptions. Despite this, we're maintaining full year guidance for total revenues and ARR metrics as we are comfortable that we can offset the incremental headwinds from FX. You can find the details of our full year guidance and FX assumptions in the press release we filed this afternoon.
 Next, turning to guidance for the second quarter. Similar to the first quarter, we expect cloud subscription ARR to grow while self-managed and maintenance ARR is expected to decline on both a sequential and year-over-year basis. With this in mind, we're establishing guidance for the second quarter ending June 30, 2024, as follows. We expect GAAP total revenues to be in the range of $394 million to $410 million, representing approximately 6.9% year-over-year growth. We expect subscription ARR to be in the range of $1.168 billion to $1.188 billion, representing approximately 13% year-over-year growth. We expect cloud subscription ARR to be in the range of $687 million to $697 million, representing approximately 35% year-over-year growth. And we expect non-GAAP operating income to be in the range of $107 million to $119 million, representing approximately 29.1% year-over-year growth.
 For modeling purposes, I'd like to provide a few more pieces of additional information. First, we expect adjusted unlevered free cash flow after tax for the second quarter to be in the range of $37 million to $57 million. Now I want to draw particular attention to the quarter-to-quarter volatility of our free cash flow, so this expectation for Q2 is put in the right context. As I mentioned earlier, the working capital favorability that we experienced in Q1 was due to timing and other balance sheet dynamics. These factors should reverse in Q2, which is why Q2 adjusted unlevered free cash flow after tax will be down quarter-over-quarter and year-over-year.
 However, when you look at our free cash flow expectations for the first half of 2024, which is $230 million at the midpoint, you'll see that our first half cash flow generation is in line with our typical linearity and in line with our full year guidance. Furthermore, our expectation at the midpoint represents 103% of our non-GAAP operating income midpoint guidance, which is in line with the medium-term expectations we laid out at our Investor Day.
 Moving on, we estimate cash paid for interest will be up $39 million in the second quarter and approximately $152 million for the full year, using forward interest rates based on 1 month silver. Third, with respect to taxes, our Q1 non-GAAP tax rate was 23% and we expect that rate to continue for the full year 2024.
 And lastly, our share count assumptions. For the second quarter of 2024, we expect basic weighted average shares outstanding to be approximately 300 million shares and diluted weighted average shares outstanding to be approximately 313 million shares. For the full year of 2024, we expect basic weighted shares outstanding to be approximately 302 million shares and diluted weighted average shares outstanding to be approximately 350 million shares. 
 In summary, we are pleased with our Q1 performance, and we're off to a great start in 2024. We are focused on consistently executing our cloud-only consumption-driven strategy by delivering the best data management products on the industry's only cloud-native consumption-based platform, serving the multi-vendor, multi-cloud and hybrid needs of the modern enterprise. 
 Operator, you can now open the line for questions. 
Operator: We now begin the Q&A session. [Operator Instructions] Our first question today comes from Koji Ikeda with Bank of America. 
Koji Ikeda: Just 2 for me here. First question on the 1 million-plus customer count, really strong net new customer additions there was plus 18 in the quarter. I think that's the strongest on record. So the question here is, is there a common theme among these customers that is driving the growth in the net new metric or maybe it's 1 or 2 particular use cases that is driving that strong growth. And do you anticipate net new 1 million plus customers to continue increasing in the future? 
Amit Walia: Koji, Good to hear from you. Well, first of all, great growth across the board as you saw. I think on this one, across the board, I think, look, as IDMC has fully scaled out every offering is at scale on that and the breadth of the use that it serves, more and more customers basically are landing with, "Hey, I can use it for many use cases and multiproduct entry points have increased." So that's what's driving the increase in that particular size of the customers because these end up being the larger customers, they have attractive use cases and they have the need for IDMC for a variety of front office to back office cases. That's what we are seeing. And obviously, we hope to continue to see that. 
Koji Ikeda: Got it. And then just a follow-up here for Mike. I know you guys launched the IPU pricing model about a year ago and I know there's a component of use it or lose it there. So I just wanted to ask, were there any onetime benefits in this quarter from unused consumption true-ups? 
Michael McLaughlin: No, not at all, Koji. We have actually been selling IPUs for longer than a year. It's been 3.5 about, we introduced Flex IPUs last year, which was a -- which is a special configuration designed for seasonal users rather than folks that consume IPUs consistently throughout the year. The way our IPU model works is it's a committed amount of capacity that you buy and you pay for it upfront. We amortized that upfront per year. We amortize that as the year goes on a ratable basis regardless of the consumption of those IPUs. And the revenue that we recognize from the committed multiyear contracts that we signed for IPUs can never go down regardless of consumption. It can go up if folks run out of IPUs and come back to us to buy more but there's no adjustment or true-up or anything like that, that you might see in other consumption-based companies that have a different pricing model. 
Operator: Our next question comes from Matt Hedberg with RBC Capital Markets. 
Matthew Hedberg: Great. Congrats on the strong Q1. I guess just -- maybe just from a high-level perspective, could you talk about the demand environment. You guys have such a broad coverage of global large enterprise customers. Is the demand environment kind of similar to what you saw in 4Q, despite, like Koji said, you guys had a really strong large customer quarter? Just sort of curious if you could characterize how customers are thinking about spending right now. 
Amit Walia: Matt, thanks for the question. Yes. So I think the demand environment stays the same as we saw in Q4 that we saw in Q1. I think the additional commentary I'll add to you is that, one is that needless to say, everybody has to or everybody is prioritizing the top initiative data driven digital transmission. So we end up being the beneficiary of that because of the breadth of the use cases that we can solve to IDMC, whether it's front office customer churn or a supply chain or a back-office analytics, we serve the breadth of use cases. So that ends up allowing us to actually have a broad set of opportunities within a customer.
 Second is, obviously, the ability for us. We obviously serve mission-critical workloads. Even the modernization, you can see have increased because people are realizing that, hey without modernizing it going to cloud, we cannot get the benefits of gen AI in the future. So it's having a bit of a tailwind for modernization. And we saw that. And with PowerCenter Cloud Edition and the launch of MDM modernization, obviously, that has definitely picked up win for us.
 And lastly, early days, I've repeated many times, early innings on gen AI but we definitely see that every organization wanting to do something over there. And we are seeing the early green shoots of work happening on IDMC and with CLAIRE GPT going out, we expect more in the second half and next year more and more in that area. We are absolutely seeing reprioritization of budgets moving towards doing things that -- in that area. So we are benefiting from that even though you can argue that the overall IT budgets continue to be somewhat slower but those are the ways to think about the demand cycle for us. 
Matthew Hedberg: Actually, that's a great dovetail into the question. Once you -- it seems like you guys are well positioned to leverage customer interest in gen AI and really being part of the rails as customers think about preparing their data for gen AI. Do you anticipate -- I guess, I should say, how do you think gen AI initiatives do impact sales cycles? Do you think there's a risk that it maybe slows things down and customers kind of like think about that journey? Or maybe it accelerates things as customers are looking at you as a key leverage point in their broader gen AI decisions? 
Amit Walia: Looking at anything in that area in the future is a hard one. I think the way I describe it this way, that the beauty of what we have is that with IDMC, remember when I said IDMC for gen AI. Customers can actually use IDMC for non-gen AI digital transformation projects as they are doing today. And by the way, many of them have not yet completed. We all know that. And the same IDC platform can be used for gen AI use cases. The example that I was giving is a customer, by the way, a financial services company that does loan approvals for mortgage, is leveraging our app integration capability to basically bring data from many places, do all the cleansing, quality and everything, and go through, we let them choose whichever LLM is good for them and get mortgage approvals happen in a matter of minutes, that was taking a long time.
 So the beauty is that customers have the flexibility of saying, hey, even if I want to start a small gen AI project, I can do that while others happen. Same platform, same capabilities. And on the other hand, so that doesn't slow anything down. They have it, they can do it. They don't have to decide one way or the other. And of course, CLAIRE GPT comes later than helps us. So that's the way customers are actually going about it. 
Operator: Our next question today comes from Brad Zelnick with Deutsche Bank. 
Brad Zelnick: Amit, can you maybe just give us more color on PowerCenter Cloud Edition uptake and pipeline build? I heard this stat that 80% of modernization deals were influenced by that and that's up from 60% last quarter. But any other color that you can share? And how much uptake is built into the guide for the full year? 
Amit Walia: Well, I can tell you that modernization absolutely is -- has accelerated. And we had shared with you that we expected and wanted to go in that direction. And I would say Q1 has shown that it is headed in that direction or absolutely well on that path. So what -- obviously, PowerCenter Cloud Edition makes it a lot easier for our customers, and for us, needless to say, that has become the lion's share, and we'll continue to expect to see that number even pick up to be part of the power center  modernization opportunities. And I think that's baked into our guide for the year. That's what we were expecting for this year to be for that to kick in. And Q1 proved that and we expect that to continue to be part of our cloud ARR growth, which is what in the guide I gave you as well baked into that. 
Michael McLaughlin: And as you remember from the Investor Day discussion from December, our both '24 and medium-term guidance that we offered was based upon a buildup of what we think is the TAM growth based upon external estimates, source from IDC and others of mid-20%, mid- to high 20% TAM growth plus migration-driven growth. And that sums up in '24 to our expectation of 35%. Doing that math another way, 25% to 30% of our growth we expect in cloud ARR should be over time coming from migrations. And that's entirely consistent with what we're seeing play out in Q1. 
Brad Zelnick: Michael, it's a helpful reminder. Maybe just a follow-up on maintenance ARR, which was just a little bit below what we might have expected sequentially. And I appreciate the comments you already shared in the prepared remarks but anything else to call out, whether it's any specific customer churn or anything else that maybe we're just not appreciating? 
Michael McLaughlin: Yes. Thanks for bringing that up. It really is, and I mentioned, briefly in my remarks, it may not have been obvious enough. Almost half of the gross churn in our maintenance base this quarter was due to migrations from power center on-prem to the cloud. So the -- and again, we're getting back to Investor Day when we talked about our expectations for the decline of both maintenance and self-manage, the decline is made up of 2 components. One is what I call the natural churn. That's customers who churn because they went out of business or the use case went away or they got bought by another company. That's sort of exogenous churn that's independent of migration. And then the other part of the churn will be from migration, moving from maintenance or self-managed to the cloud. So our maintenance churn this quarter, almost half of that was in that maintenance to cloud bucket, and the natural churn was very much in line with what we've been seeing quarter after quarter after quarter for the last several years. 
Brad Zelnick: Got it. And just one more. I apologize. I don't mean to hog but, wouldn't the corollary  to that be that we would expect to see cloud ARR perhaps even stronger. I know there's Q1 seasonality and a lot of -- the majority of that is coming from new business, not from migrations. But is there anything else that we're missing there as we think about the migration and the strength in migrations that you call out is accounting for what we see is the behavior in maintenance? 
Michael McLaughlin: No, you're not missing anything. It's doing exactly what we expected it to do. Our guide was based upon the mix of net new ARR and migration ARR being very much in line with what we saw as were our projections for maintenance and self-managed churn. So it's right down the fairway and we're happy with it. 
Operator: Our next question comes from Andrew Nowinski with Wells Fargo. 
Andrew Nowinski: So I want to start with a question on the sort of cost optimization trends you're seeing, we've heard from all the major hyperscalers now and they've all talked about cloud cost optimization coming to an end. I'm just wondering how correlated your results are to their -- to that trend? 
Amit Walia: Well, I mean, look, I've said that all the times when the optimizations are going on. For us, one of the good things that we never went crazy badly up, so going badly down has never happened for us because we serve mission-critical workloads. We were never over penetrated into what I call nice-to-have workloads or selling to the very large start-up community or the venture community that went up and down. We continue selling to enterprises where demand was very much tied to operational workloads, and we were very thoughtful about what we were doing.
 And in that case, I would say that you've seen consistently our cloud ARR growth rate has been very consistent. You've also seen within that, what we've talked about net new versus migration has been very thoughtful. And you've also seen the adoption of a cloud or the usage of our cloud platform. IDMC had what $92 trillion transactions a month, growing 69% year-over-year, and you've seen every quarter, that number has very consistently grown in that 65% to 70% range. So for us, in some ways, that was kind of never a problem and has not been a problem today, and I just kind of see that problem. 
Michael McLaughlin: Yes. And I'll also just remind you and everyone else, Andrew, that because of the way the IPU consumption pricing model works, which is a upfront committed multiyear purchase of IPU capacity, we're not subject to quarter-to-quarter revenue or ARR volatility based upon the actual consumption of those IPUs, unlike others in our space or adjacencies that are more of a direct drive consumption model that you can see in the quarterly results. That being said, our consumption -- our utilization trends of the IPUs are very good and we feel very good about it. And we just haven't seen those utilization trends being particularly correlated to what we hear from some of those other companies you're referencing in terms of cost optimization this quarter or cost optimization over the next quarter. 
Amit Walia: I would remiss, I have to plug that to the customer success team. They do a fantastic job of making sure the use cases customers buy for the right after sale they go in and make sure that the adoption and the business value creation is there. So that team has created that as almost like top work. 
Andrew Nowinski: Okay. And then I just wanted to ask a question as it relates to the M&A news that we heard about intra-quarter. Did you see any disruption from that, that prompted you put out your pre-announcement? 
Amit Walia: I think -- Andrew, you saw the quarter we gave. I think Mike does a very good job reminding everybody we guide to the midpoint. And I think the clean beat across that midpoint from top to bottom line is a great indicator of how we've executed in Q1, which is, in some way, seasonally a small quarter, we start the year but we feel very good about where we are and all the metrics in terms of what we shared in Q2 guide and for the year, what we feel, feel pretty good about it. 
Operator: Our next question that comes from Will Power with Baird. 
William Power: Great. Maybe to start with you, Amit, I'd love to kind of hear in the early use cases you're seeing with CLAIRE GPT. I mean I trust we're going to hear a lot more about that in a couple of weeks. I recognize it's still early but any early indicators there would be great. 
Amit Walia: No, indeed, Will, I think pretty excited about that. Obviously, at Informatica World, you'll see the main stage demo and what we're doing with that. And as I've share, like, we should be live with that product as we -- before we get there. We've had some great run with the preview that we did 300-plus enterprise customers using it. And I can tell you some great use cases we saw a large health care provider basically through the chat interface being able to -- almost very, very quickly be able to allocate mission-critical drugs or the staffing across their different locations. So that basically can give a much higher degree of that in the patient care or we saw in the case of a large manufacturing company to be able to manage their supply chain by being able to understand and look at the data in real time and being able to do things, or even a financial service, something doing what I call more governance and data discovery for risk management purposes.
 So we saw a whole lot of those use cases, again, the pointing that it allows data management to be a lot more democratized and being able to do things that probably take us a lot more time, a little bit less productivity. So we saw all of those use cases in the preview. I'm pretty excited about it once it goes GA. I think we expect, obviously, as we think about the adoption happening, it's going to be part of the IPU model as well over the course of the second half this year and then walking into next year, that should definitely be things that we, as a company, are excited about. 
William Power: Okay. Great. Yes. I look forward to hearing more here in a couple of weeks. I guess, may be -- Mike, maybe just quickly, in ARR, I guess at a customer level, I think 119%, I think flat sequentially, still a healthy number. Any kind of puts and takes to think about as we kind of move through the year? I mean, is that kind of the right level to expect through the balance? 
Michael McLaughlin: Yes, it is, Will. It will bounce around, if it's down a couple of points, don't panic, if it's up a couple of points don't overly celebrate. This feels like about the center gravity that we should expect for the next several quarters. 
Operator: Our next question today comes from Pinjalim Bora with JPMorgan. 
Jaiden Patel: This is Jaiden Patel for Pinjalim Bora. Is it possible to understand the traction around your different product pillars even if qualitatively across core data integrations, MDM and data government? Are you seeing a little bit of a wind behind one versus the other? 
Amit Walia: Look, we don't break different product lines because the reality I've said that so many times, customers when they do different projects, it's always a combination of multiple products on the platform. And that is the beauty of our story. That if you're doing an analytics project in the case of gen AI, we're going to use integration, whether it's app integration or data integration, and we are going to use data quality as a bare minimum, to bring data together and clean it and make sure it's of high quality.
 And of course, as you are basically making sure that you are democratizing that, you want to put some [ layer ] on governance, so on and so forth. Whether you do MDM or you do governance, every project is a multi-product project. Our goal has always been that duty for us has been that we have the best product in the industry. So whichever project you want to begin with, with whichever product you want to go with, it's best in the industry. The other beauty is that all of them end up on 1 platform, which given its consumption-based pricing, the beauty is that you can consume anything. You can dial up, dial down depending upon where you are, and that's the flexibility and the scale that customers look.
 And hence, we see -- so we always look at use cases, governance has definitely been done very well. All kinds of mastering use cases, Customer 360 or Supplier 360 are doing very well. And of course, in the world of analytics, which is gen AI or traditional analytics, they are obviously doing very well. So all of them, that's how we see the world versus to the lens of products. 
Operator: Our next question today comes from Howard Ma with Guggenheim Securities. 
Howard Ma: Amit, I really like to phrase that you said everyone is ready for gen AI except for your data, you could even consider making that a company tagline. But I guess if we were to really pressure test that with your enterprise customer base, what portion is experimenting with gen AI use cases that require robust data quality, cataloging, governance capabilities, et cetera? Is it 100% at this point or 50%? And what portion of your customer base is actively exploring Informatica for these gen AI driven capabilities? 
Amit Walia: Thanks for the question, Howard. Howard, first of all, that is the company tagline right now. So the brand campaign that's going on. So I was a little bit self-serving and using that line. So of course, when you come to Informatica World, you'll see that tagline everywhere. And that, by the way, is something we go to customers. But in it, by the way, tagline check is actually very true. The reality of gen AI is that it's one of those times in the history where everybody at the Board level down is super excited about gen AI. I mean -- but the question is that the reality of the ground level is the data is strong. So we feel bless that we have an opportunity to help our customers in that point.
 Coming to your second question, look, that's what's happening right now. As I'm talking to customers, whether it is coming bottoms up or coming tops down, the reality is that data is a best and people realize the value in AI will come from how good a job you do with giving complete data, good quality, all the stuff that you just talked about. And that is very difficult to do and customers are realizing and that's the conversations our sales folks are having. So more and more of our conversations, I'm like, "hey, let's just talk about that. Help me understand how to go about it." 
 And when -- and the hub movement comes from our customers is when they realize that, "Oh, first of all, we can help them with that." And the other hub, "Good lord." So if I have IDMC right now here with me and I purchased these IPUs, I can use them right now from my gen AI project? The answer is, yes, you don't have to do anything, go at it. Why because it can help you do things even better but all the stuff that you need to do a gen AI project is with you today, if you are an existing customer. And with a new customer, of course, the value proposition is, as we explained this to them. So we are seeing that. Those are the conversations. Informatica World will be all around this. You'll see our customers be talking and learning, and the demos and all that stuff. But that's the -- that's what we are hearing and seeing right now. 
Howard Ma: Okay, Amit. That makes a lot of sense. I have a follow-up for Mike, too. I actually want to circle back to Brad's question about quantifying the cloud modernization. So in Q1, I believe in your prepared remarks, you said 30 cloud modernization is up 100% year-over-year. How should we think about it when they'll show up in cloud ARR? And I guess, more generally, how should we think about the timing of modernization contributions to cloud ARR? Is it more second half weighted? Or should we think about more so the benefit showing up next year just because the -- I believe there's a lag in Cloud ARR recognition? 
Michael McLaughlin: Yes. Thanks, Howard. And actually, it was more than 30. That was an approximate number. Just that quick clarification. So when we sign a cloud migration deal, there is a benefit to ARR out signing in that quarter. However, because of the credits that we provide to the customer against their existing maintenance stream, while the migration is happening that ARR that you see in the initial stages of the migration is not the full run rate ARR, the full amount that's actually being built to the customer. And this is because of some accounting rules that, for better words, we have to follow. So that being said, the lag in terms of ARR contribution is not great. So when we sign those and as the migrations accelerate, that goes into collateral, Howard, and that's part of our forecast, and that is part of the build that underlies our 35% growth this year.
 One thing that is different with PowerCenter Cloud Edition that traditional power center migration is because the length of time it takes to migrate from power center on-prem to the cloud using PowerCenter Cloud Edition is 6 months or less versus 2 years or less in the old version, the maintenance is decommissioned more quickly. And so the churn out of maintenance shows up sooner than it would under the old style of migration. All that modeling gets very complicated very fast. But I assure you that all of that is embedded in the guidance that we've provided for '24. 
Operator: Next question comes from Patrick Colville with Deutsche Bank (sic) [ Scotiabank ]. 
William Vandrick: This is Joe Vandrick on for Patrick Colville. I had one on power center cloud migration. Of the 5.5% of maintenance and self-managed ARR, it's already migrated. Where do you set percentage going maybe over the next year or 2 or over the medium term? 
Michael McLaughlin: Yes. We're not finding a specific number on that but I would point you instead to the medium-term guidance regarding the contribution of migration-related ARR to cloud versus net new cloud set. Now we did share at the Investor Day that at the pace we expect by the time we get towards the end of our medium-term period, which is through the end of 2026 guidance or sort of directional medium-term model type of guidance that we gave in December that we still will have migrated less than half, considerably less than half of that full base of power center maintenance, on-prem maintenance in general and self-managed. 
William Vandrick: Got it. And then maybe 1 more for me. But I mean a lot of talk about generative AI on the call so far. I guess, is the takeaway that the conversations are happening right now but it's still early days and maybe you expect more of a meaningful contribution in 2025? 
Amit Walia: Correct. I think it's all happening. And I think as we think about the latter half of this year, [ walking to ] '25, you should expect that. And by the way, if you take a step back, that's following a very natural course for any technology transition. When the cloud build-out was happening, the first happened at the IntraLayer server network storage, all of those things were the first the highest had to be built, which is what is happening right now in the gen AI world and then obviously, the data layer and the upscale because data layer obviously takes more work, more thinking, you just can't move that over there without the risk of governance compliance, those kinds of things. So it's following its very natural course of technology evolution that in some ways, cloud also follow. 
Operator: Final question today comes from Tyler Radke with Citi. 
Tyler Radke: Maybe the first question for you, Mike. Just as we look at the outlook for Cloud ARR for the full year, it does seem a bit more second half weighted relative to this point a year ago? I know migration in some of these power center deals may be more second half weighted just given the kind of historical maintenance seasonality. But could you just talk about why the seasonality might be a little more back-end loaded this year and just kind of what gives you the confidence in that visibility? 
Michael McLaughlin: Tyler, look, we expected this question. So did our homework. If you look at where we were this time last year on this exact call 1 year ago, the guidance that we offered a year ago in that call in terms of first half versus second half linearity is virtually exactly what it is in the guidance that we're providing in this call this year. Now I don't know what math you're looking at but I'm happy to subcommittee, it's within 2 percentage points in terms of first half versus second half versus where we sat at exactly this time last year. So there's really nothing different than there's nothing to see here. It's the same pattern we saw last year. 
Tyler Radke: Got it. Helpful clarification. And then I'm just curious as you're thinking about the power center migrations, to what extent are you looking at kind of moving up and to support an end-of-life dates on the traditional power center maintenance essentially a lever to accelerate this? Is that something you're kind of contemplating here over the next few years? 
Amit Walia: Tyler, first of all, look, the -- we service a critical workloads for our customers. And I've said that many times that power center is basically integral part of our customers. Literally, sometimes some of them are closing their books on us. And as this part about migrations we've been very thoughtful about what our ethos of the company is, how we think about customers, and how we want to make this happen fast without disrupting our customers. And we'll never deviate from that path. So in that case, we're never a company that's basically going to go have a pull off a hammer to use that to solve, put it on the nail. We're going to be very, very thoughtful. So that's how we think about it. And we talk to our customers very closely as we think about any such material decisions. So no change to what we're doing. In some ways, I feel like with PowerCenter Cloud Edition, we are seeing a great uptick as we just saw in this Q1. 
 And I also believe philosophically the way as we think about the medium to long term, that gen AI, the conversation I'm having with customers is opening that is to, [indiscernible] I don't modernize and get to the cloud, the power of AI would not be there for me, if I'm not in the cloud. So that's also opening up a lot of eyes, which will say, I should basically accelerate some of the things that maybe I was thinking. So we look at all of those goodness in terms of tailwinds for us versus using any kind of a hammer or a stick to drive things. 
Operator: Thank you all for your questions. This will conclude the Q&A session. So I would now like to turn the conference call back over to management for any closing remarks. 
Amit Walia: Thank you. Well, look, I appreciate all the questions and everybody taking the time. Look, I'll reiterate one thing that we are a very unique and a special company. In the market we are, the scale at which we operate, and the innovation that we are delivering with the best products and the most at scale platform with clear the AI driving current, AI engine initiatives and with the gen AI coming from us, sets us up in a very, very unique position. We are always going to be very consistent in our execution, as you saw today, but from top line to bottom line, and that's what you hear from us in our guide for Q2 as well as our guidance for this year.
 I feel great about where we are today with our innovation and our customer efforts. Excited about walking to Informatica World I look forward to seeing almost all of you there, and you will get to see some amazing innovation, some cool demos and, of course, hearing from our customers directly as to why they choose Informatica and why they help us drive our NRR, which is where it is today. So I'm excited about where we are and look forward to seeing all of you at Informatica World, and if not there, then at the next earnings call. Thank you. 
Operator: That will conclude today's conference call. Thank you all for your participation. You may now disconnect your lines.